Operator: Good afternoon, ladies and gentlemen, and welcome to the Huron Consulting Group's webcast to discuss financial results for the third quarter 2017. [Operator Instructions] As a reminder, this conference call is being recorded. Before we begin, I would like to point all of you to the disclosure at the end of the company's news release for the information about any forward-looking statements that may be made or discussed on this call. The news release is posted on Huron's website. Please review that information, along with the filings with the SEC, for a disclosure of factors that may impact subjects discussed in this afternoon's webcast. The company will be discussing one or more non-GAAP financial measures. Please look at the earnings release on the Huron's website for all of the disclosures required by the SEC, including reconciliation to the most comparable GAAP numbers. And now, I would like to turn the call over to Jim Roth, Chief Executive Officer and President of Huron Consulting Group. Mr. Roth, please go ahead.
Jim Roth: Good afternoon, and welcome to Huron Consulting Group's third quarter 2017 earnings call. With me today are John Kelly, our Chief Financial Officer; and Mark Hussey, our Chief Operating Officer. Led by solid growth in the Education and Business Advisory segments, Huron's third quarter results were consistent with our full year expectations, enabling us to narrow our full year revenue and EPS guidance within the previously established range. I will now provide some perspective on each of our segments, and then turn it over to John so he can walk you through the financials. I'll begin with Healthcare. During the third quarter, Healthcare segment revenues declined 23%, compared to the prior year quarter. The year-over-year decline was largely due to a reduction in performance improvement revenue, stemming, in part, from the roll-off of some larger engagement, and to a lesser extent, softness in our advancing solutions business. During the third quarter, there continued to be signs of increased demand for our healthcare offerings, particularly our performance improvement solution, which includes our revenue cycle and cost and clinical services. The increasing demand is primarily attributable to ongoing margin pressures and the need to achieve cost and quality objectives for many health systems and academic medical centers. In our Studer Group business, we realized a meaningful increase in new business sales during the quarter, as well as continued renewals while seeing cancellations return to normal levels. Third quarter Healthcare segment revenues sequentially declined 4%, an improvement over prior quarter performance. Utilization in the third quarter increased to 80%, achieving the highest rate since the first quarter of 2016. These recent trends continue to give us some confidence that we are nearing a point of stabilization in our Healthcare business. While the healthcare market is evolving in a direction that we believe will be favorable to our business, given the current market uncertainties and the reduced visibility, we are cautious about predicting the rate of growth for this business in 2018. We remain focused on broadening our client base, and integrating our offerings to create a unified value proposition for our clients, while continuing to aggressively pursue strategic initiatives that we believe will position us for long-term organic growth in our Healthcare business. Turning now to the Education segment. Education again achieved solid performance in the quarter, growing revenues 7% organically year-over-year. Our third quarter performance was led by growth in our technology solution. Higher education institutions today are facing increased financial pressure and deep public scrutiny as it relates to the value and ROI of an undergraduate education. Colleges and universities are increasingly executing student-focused strategies using technology and improved processes to drive student success and progression. With our deep industry expertise and depth of our service offerings, we are uniquely positioned to support our growing client base with their complex problems, including in the support of comprehensive student-centered initiatives. Our ability to collaborate across our strategy and operations, technology and research offerings to solve our clients' most pressing challenges differentiates us in the market and enhances our competitive advantage. In our Education segment, in 2017, we have provided more than one solution from our portfolio of services within the practice to 21 of the top 25 clients. We believe the Education segment remains well positioned to meet the needs of the sector and continue its growth trajectory. Our Business Advisory segment includes four businesses: Enterprise Solutions and Analytics, or ES&A; legacy Business Advisory; strategy and innovation and the Life Sciences. This segment continued to perform in line with our expectations during the third quarter, growing 34% over the prior year quarter. Our third quarter performance was driven by organic growth in our ES&A practice, as well as inorganic growth in the strategy and innovation practice, which we established in Q1 with the Innosight acquisition. The ES&A business continued to grow in the mid-teen range during the third quarter of 2017, as compared to the prior year quarter. This growth was primarily driven by our business intelligence solution. The ES&A business continues to scale to deliver large projects and broaden its offerings into new technologies. During the first three quarters of 2017, we have doubled the number of engagements over $1 million, as compared to the same period in 2016, demonstrating the confidence our clients have in our ability to deliver value in increasingly complex environments. The strategy and innovation practice performed well in the third quarter. We continue to strengthen our go-to-market approach by combining the strategy and innovation team's strategic experience with our strong industry expertise to best serve clients in Huron's core industry verticals. We have seen notable success in the market when we combine our offerings in a unified manner. Rounding out the Business Advisory segment, our legacy Business Advisory practice continues to expand its industry focus, and we are pleased with the progress we have made in integrating Pope Woodhead as we continue to expand our global footprint to serve the life sciences industry. We continue to strengthen our collaborative efforts across the entire firm to capitalize on our competitive advantage. In the first nine months of 2017, the Business Advisory segment generated approximately 19% of its total revenues in the healthcare and education industries. Let me now turn to our 2017 guidance. As our press release indicates, we are updating our annual revenue guidance to $733 million to $743 million, and our GAAP earnings per-share guidance to a loss of $6.15 to a loss of $6.05, inclusive of the Q2 goodwill impairment charge. Finally, we are reaffirming our non-GAAP adjusted EPS and Healthcare performance-based fee guidance. Now, let me turn it over to John for a more detailed discussion of our financial results. John?
John Kelly: Thank you, Jim, and good afternoon, everyone. Before I begin, please note that I will be discussing non-GAAP financial measures such as EBITDA, adjusted EBITDA, adjusted net income, adjusted EPS and free cash flow. Our press release, 10-Q, Investor Relations page on the Huron website have reconciliations of these non-GAAP measures to the most comparable GAAP measures, along with a discussion of why management uses these non-GAAP measures and why management believes they provide useful information to investors regarding our financial condition and operating results. Now, let me walk you through some of the key financial results for the quarter. Revenues for the third quarter of 2017 declined 3.8% to $176.4 million, compared to $183.4 million in the same quarter of 2016. Third quarter 2017 revenues included $15.1 million from our acquisitions of Pope Woodhead and Innosight, which closed after the third quarter of 2016; and the full quarter impact of our acquisition of HSM Consulting, which we completed mid-third quarter of 2016. Third quarter 2017 revenues also included revenues from our 2017 acquisition of the international business of ADI Strategies, which has been fully integrated into our business. Net income from continuing operations was $4.1 million or $0.19 per diluted share in the third quarter of 2017, compared to $12.3 million or $0.57 per diluted share in the same quarter last year. The decline in net income over the prior year period was primarily attributable to the reduction in revenues and an increase in salaries, bonus, and related expense as a percentage of revenues. Our effective income tax rate in the third quarter of 2017 was negative 92.4%, compared to 37.2% a year ago. The Q3 2017 rate reflects a $2.7 million tax benefit related to a previously unrecognized tax benefit from our check-the-box election made in 2014 to treat one of our wholly-owned foreign subsidiaries as a disregarded entity for U.S. federal income tax purposes. We have adjusted this benefit out of adjusted net income and adjusted EPS due to its onetime nature and to treat it consistently with the impact of the initial check-the-box election in 2014. Adjusted EBITDA was $21.5 million in Q3 2017 or 12.2% of revenues compared to $37.5 million in Q3 2016 or 20.4% of revenues. The year-over-year decrease in adjusted EBITDA was primarily attributable to the reduction in net income from continuing operations. Adjusted non-GAAP net income from continuing operations was $9.3 million or $0.43 per diluted share in the third quarter of 2017, compared to $19.7 million or $0.92 per diluted share in the same period of 2016. Now, I'll make a few comments about the performance of each of our operating segments. The Healthcare segment generated 45% of total company revenues during the third quarter of 2017. This segment posted revenues of $79.6 million for the third quarter of 2017, down $23.8 million or 23% from the third quarter of 2016. As Jim mentioned, the decline in revenue was primarily driven by a decrease in performance improvement revenue, and to a lesser extent, softness in our advancing solutions business. Performance-based fees in Q3 2017 were $5.3 million, compared to $13.8 million in the same quarter last year. Our full year expectation for the range of performance-based fees in Healthcare remains $25 million to $30 million. Operating income margin in Healthcare was 32.4% for Q3 2017, compared to 37.5% for the same quarter in 2016. The year-over-year decrease in operating margin was primarily attributable to an increase in salaries, bonus and related expense as a percentage of revenues. We continued to execute on smaller projects during the third quarter of 2017, which offer less contingent fee upside and resource efficiency than large engagements, driving reduced margins for this business. We continue to expect full year operating margin for the Healthcare segment to be approximately 33%. The Education segment generated 24% of total company revenues during the third quarter of 2017. The segment posted quarterly revenues of $41.4 million in Q3 2017, an organic increase of 7.3%, compared to revenues for Q3 2016 of $38.6 million. The operating income margin for the Education segment was 18.7% for Q3 2017, compared to 28.2% for same quarter in 2016. The decrease in operating income margin in the quarter was primarily attributable to an increase in salaries, bonus and related expenses as a percentage of revenues. This increase was largely driven by an increase in bonus accruals based on expected full year performance and increased salary expense for campus hires during the quarter. We continue to expect full year operating margin for the Education segment to be between 24% and 25%. The Business Advisory segment, which includes the ES&A, legacy Business Advisory, strategy and innovation and Life Sciences practices generated 31% of total company revenues in the third quarter. The segment posted revenues of $55.4 million for the third quarter of 2017, an increase of 33.9%, compared to $41.4 million in Q3 2016. Revenues for the third quarter of 2017 included $13.4 million of revenues from our acquisitions of Pope Woodhead and Innosight. Third quarter 2017 revenues also included revenues from our 2017 acquisition of the international business of ADI Strategies, which has since been fully integrated into our Business Advisory segment. The operating income margin for Business Advisory was 23.2% for Q3 2017, compared to 20.8% for the same quarter in 2016. Operating income margin in the quarter was favorably impacted by revenue growth that outpaced salaries, bonuses, and related expenses. We continue to expect full year operating margin for the Business Advisory segment to be between 23% and 24%. Other corporate expenses not allocated at the segment level were $30.3 million in Q3 2017, compared with $27 million in Q3 2016. The quarter included $1.3 million of restructuring charges. In addition, $2.6 million of Pope Woodhead and Innosight's costs are included in unallocated G&A as these activities are consistent with other corporate activities within Huron. Now turning to the balance sheet and cash flows. DSO came in at 63 days for the third quarter of 2017, compared to 59 days for the second quarter of 2017. Total debt includes both the $250 million face value of convertible notes, $139 million in senior bank debt and a $5 million promissory note for total debt of $394 million. We finished the quarter with cash of $9 million for net debt of $385 million, a decrease of approximately $24 million, compared to net debt of $409 million as of the end of the second quarter. We ended Q3 2017 with a leverage ratio as defined in our senior secured credit agreement of approximately 3.5x adjusted EBITDA. Cash provided by operating activities for the first nine months of 2017 was $52 million. We expect cash flows from operating activities for the year of $95 million to $105 million. We still expect capital expenditures for the year to be approximately $25 million. Net of capital expenditures, we expect free cash flow for the year of approximately $70 million to $80 million, net of cash taxes and interest and excluding noncash stock compensation. As Jim mentioned, we're updating our annual revenue guidance to $733 million to $743 million and our annual earnings guidance for GAAP EPS of a loss of $6.15 to $6.05 per share. We are affirming our non-GAAP adjusted EPS of income of $2.20 to $2.30 per share. We expect our effective tax rate, exclusive of the impact of the goodwill impairment charge taken during the second quarter and exclusive of the check-the-box benefit recognized during the third quarter, to be in the range of 44% to 45%, reflective of the impact of the new share-based compensation accounting rules. As a closing reminder, with respect to adjusted EBITDA, adjusted net income and adjusted EPS, there are several items that you will need to consider when reconciling these non-GAAP measures to comparable GAAP measures. The reconciliation schedules that we included in our press release will help walk you through these reconciliations. With that, I would now like to open the call to questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Tim McHugh From William Blair. Your line is now open.
Tim McHugh: Thanks. Just want to ask on the guidance implied for the fourth quarter. My math says it's kind of 6% to 11% sequential improvement. And I guess can you be a little more granular in terms of where you would expect to see that type of step-up sequentially?
John Kelly: Hey Tim, it's John. The first thing I would note is, we had about $5 million of contingencies that we initially expected to come in during the third quarter that are pushing out to the fourth quarter. In fact, one was related to a transaction that actually closed on October 1, so it was right on the borderline there. That split probably half and half between Healthcare and Education. It was two different projects, so I think that right there...
Jim Roth: Business Advisory.
John Kelly: I'm sorry, Business Advisory and Healthcare. And I think that right there bridges some of the gap. But then beyond that, we expect sequentially revenue to increase really across all three segments.
Tim McHugh: Okay. And Studer, can you - what was the performance this quarter? And I guess given the commentary on new business sales and retention, what do you expect, I guess, going forward for that business now versus - I think the commentary last quarter was down double digits was the trend line it was probably on.
John Kelly: I would say, Tim, the expectations for the full year have not meaningfully changed for Studer Group.
Tim McHugh: Okay. What was it in the quarter, I guess? And then can you remind me what that expectation was?
John Kelly: Yes. So, I think the expectation that we set was for it to be down low double digits for the year comparing 2016 and 2017, and that's still the expectation.
Tim McHugh: Okay. I guess given the commentary then, why still that expectation?
Jim Roth: Tim, it's Jim. Part of what we saw is - you saw some of the drop-off that we have talked about in the second quarter. In the third quarter, we did see, as we indicated, a meaningful increase in new business sales during the quarter and as well as some continued renewals, so we feel a bit more about that business getting a little bit more stable. And the cancellations that we've always seen return to levels that were normal. So, I feel like we're in a - I think what happened in Q2 was probably a little bit more of an anomaly for Studer Group than - and we weren't even thinking that it was going to be something that was continue to be a trend.
Mark Hussey: Yes. And Tim, it's Mark. The last thing I would just add is that as you know the way the Studer business works is typically on a total contract value basis of multiyear contracts. And so, the current year impacts are really, to some degree, not reflected at all in the current year. And so, to that extent, the fact that things have recovered would not have necessarily shown up in the current year results.
John Kelly: And even as it relates to cancellations, I think our expectation had been that, that would normalize in the back half of the year. So that's really just consistent with what we had thought as of the last call.
Mark Hussey: So, the takeaway is that we've seen stability coming back into the Studer business, and we feel like we've got a solid base to continue building from going forward.
Jim Roth: And one other thing I would add. Again, I think we had in Q2 when we talked about some of the challenges we had in the Studer Group, we talked about some of the larger for-profit systems having some cancellations and a few of the economic medical centers. In fact, in the current quarter, in Q3, we actually had a large sale to an academic medical center. So, I think - we didn't feel as though there was a trend developing in Q2, and I think that kind of proved out in Q3. I think we just got back to little bit more normal operations. And some of the cancellations, I think, were a little bit more of an anomaly in Q2 and not a trend.
Tim McHugh: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Tobey Sommer from SunTrust. Your line is now open.
Tobey Sommer: Thanks. You mentioned in your, I think your prepared marks about the Education segment that you highlighted that more than one service was sold sort of a high proportion of your top customers. Is that more than one service across segments or more than one service from - that are sort of resident within the Education segment?
Jim Roth: It's resident within the Education segment. Although, we've continued to have a fair amount of - so our comment was that 21 out of 25 was resident within the Education segment. But as we also indicated, we continued to have a strong degree of collaboration and sales intersegment as well. The 21 out of 25 we referred to is just indicative of the fact that we've got a lot of services - we have multiple services within the Education business that are resonating very well with our client base in Education.
Tobey Sommer: Okay. In the Healthcare business, how would you characterize the - any kind of trend or tendency for customers to choose one method of pricing a project, particularly performance improvement versus another and what your assessment activity is like in that business?
Mark Hussey: I'll take that one, Tobey. This is Mark. I would say the pricing choice has not dramatically changed. What we've seen is that as the projects are smaller, the tendency to go higher in contingent goes down because it's just easier to contract in that environment with less contingent. We do see an element of contingent remaining in - as deal size increases. So, I don't think, by any stretch, has it gone away. And then with respect to, I guess, your comment or your question about assessments, we - with the environment where it is right now and ongoing pressures on margins in a broad section, the provider base, I would characterize the market is definitely more solid in the second half of this year than we've seen in the first half of this year. And that does show up in the assessment activity that we have underway as well.
Tobey Sommer: Is there any kind of visible rebound in the size of larger projects as a result of what appeared to be kind of resurgent pressures on providers?
Mark Hussey: Yes. I think the - Tobey, the way I would answer that question is that providers, in general, have gotten better at some of the services that we provide in, whether it's revenue cycle or PI. So, the nature of how we're helping them has shifted as well. In some cases, there are still what I would characterize as larger engagements. Nothing of the mega size that we've seen historically, but when you have large organizations that are trying to take reasonable amounts of cost out, they are translating into decent-sized engagements. So, unlike a period where the market was starting to be pretty soft and it was relatively flush with cash, I would say there are definitely larger engagement in the recent quarter or two than we've seen perhaps in the prior two or three quarters.
Jim Roth: And I think, Tobey, the one thing I would add just because it's interesting you've put the pricing and assessments, to some extent, go together. I think the contingent portion of it, as Mark indicated, is much more critical, I think, to a client the larger the project gets because it's just a little bit more of a risk profile from their end. As the size of our projects have gone down, as Mark indicated, we haven't really seen the need - our clients haven't had the need as much to go through the contingent route on pricing. In terms of the trends, which I think you're probably pointing to as well, we've indicated that there seems to be an increased demand for our services. I just think given, as we - as I've said in the script, there is a - we're going to need to see a couple more quarters go by before we feel comfortable that the trends are going to be sustainable. We feel pretty - we feel good about the direction things are going, primarily because of the mounting pressure on margins and the need to improve their cost structure. But at the same time, we feel like we're just going to have to be a little bit cautious about looking at this as any trend until we've had a couple of more quarters go under and hopefully get back to the growth that we're all looking for.
Tobey Sommer: Thanks. Last question for me. You spent some time trying to reposition the firm, some contributing - using M&A to contribute to that repositioning. Is your outlook still for primarily deleveraging and growing the business organically from here for a while?
Jim Roth: Yes, it is.
Tobey Sommer: Thank you, very much.
Operator: Thank you. Our next question comes from the line of Kevin Steinke from Barrington Research. Your line is now open.
Kevin Steinke: Good afternoon. So, you mentioned that I believe you continue to add headcount to your tech solutions business within Education. So just wondering how much more investment you think needs to be done there? If that's just kind of keeping up with the projects you're adding and just reacting to demand rather than continuing to kind of build out the practice?
John Kelly: Kevin, it's John. From a financial perspective, we're still investing in that area. We're still building out resources because we think that's going to be particularly in the cloud European environment. We think that's going to be a really good area of growth within Education. At this point, the businesses - I think we first introduced the investment probably back in 2015, and the way we described at that point was we had an initial net expenditure to start to build those resources and that we expected rapid growth to come from there. I think to date, the business is progressing, as we imagined. We've seen that growth. And the businesses are now profitable, but the margins are still a little bit lower than probably the rest of the segment average as we continue to build out those resources, ramping up for growth that we expect over the next couple of years.
Jim Roth: But we expect - for the most part, we would expect the growth to continue to be organic. And we see, as John indicated, a lot of opportunities in the cloud space around financial, HCM and also, as we indicated, the student area, which we believe will be a very sizable opportunity for us in the coming years.
Kevin Steinke: Okay. That sounds good. Within Business Advisory, you commented strategy and innovation or the Innosight business performed well. If you could just update us with what you're seeing there, the opportunities being generated, both within the segment or the practice and also the cross-collaboration opportunities between segments.
Jim Roth: Yes. It's Jim, Kevin. So, the - I'll go to the non-health and education side first. They continue to be very successful across an array of industries. Their competencies and their approach is directly relevant to multiple industries, so they've been very successful in taking these to some marquee clients and been very effective in their delivery of value to those clients. As - just before we had acquired Innosight, they had also begun to make a more meaningful move into healthcare. Since they've joined us, we've actually expanded that and have a very strong strategy of beginning to - of continuing to pursue healthcare strategy with a combination of our healthcare practice and Innosight. And we're also in the process of doing something very similar with Education as well. So, we feel really good about the collaborative effort of the Innosight team with our existing verticals, particularly in health, education, financial services and life sciences.
Kevin Steinke: Okay, great. And also within Business Advisory, I believe you said ESA organic growth continues mid-teens. What's the outlook there, the pipeline like? I believe that's your largest practice within Business Advisory. So, how are you feeling about that business as we move forward in the next few quarters here?
John Kelly: Hi Kevin, it's John. We still see some nice pipeline opportunities in that business. We had talked before a little bit about the cloud in Education, I mean, across other industries as well. That's an area where we're seeing a lot of clients make investments. And we think our ES&A team is well positioned there. And it's not - on their team, it's not just ERP-type work. It's also primarily EPM, but then also CRM work as well, which is a nice area of growth for us. So, we continue to see a solid pipeline in that business, and we continue to have the outlook that we expect it to be a grower in the near and long term.
Kevin Steinke: Okay. Any update on - are you still looking for a leader for the Healthcare business? Just kind of wondering what the status is of that.
Jim Roth: Yes. So, Mark has been doing a tremendous job on an interim basis in that business. And as we've said on prior calls, we have executed or executing a strategy that involves broadening the services that we're offering, expanding it to a larger array of clients. And I think what we're going to do is we're going to continue to have Mark at the helm, while we execute that for a little bit until we're comfortable that it's going in the direction and pace that we want it to be. And then we'll resume to look for a leader in that area.
Kevin Steinke : Okay. Fair enough. Well thanks for taking the questions.
Jim Roth: Thank you.
John Kelly : Thanks, Kevin.
Operator: Thank you. Our next question comes from the line of Bill Sutherland from Benchmark Company. Your line is now open.
Bill Sutherland: Thanks. Hi everybody. I was thinking about the comment, Jim, you made about wanting to see a little bit how Healthcare unfolds here for a quarter or two before you declare victory. I wonder if you could just - or maybe Mark as well, I just like to understand better kind of what you're looking for, and maybe that involves some granularity on cost in clinical versus performance, et cetera.
Jim Roth: Bill, this is Jim. I'll take a shot and maybe Mark wants to add some comment. So, I think what we're really trying to say is that I think after a period of time where we've had negative organic growth, we feel like - we have said that we're hopeful that we can return to organic growth at some point in 2018. And I think given what we've been through, we're reluctant to look at one quarter and say that we're going to - the trend is reversed. We feel really good about the way the markets are shaping up. We understand the conceptual reason why the demand appears to be increasing. We just need to see some additional quarters go through before we get the confidence that, in fact, the trend is, in fact, the trend. So, we're going to be cautious in this front. We've got no reason not to be cautious. We're - we feel very good about our positioning. When I look at the work that we're getting, we still have a very high batting average. We are getting the kind of work that involves the expanded array of services that we're offering in a much more collaborative way than we've ever done before, so there's a lot of things to feel better about. But we are reluctant to get too forward-looking until we've had some additional quarters go under where we can kind of look at this and realize that, in fact, it is a trend.
Mark Hussey: Yes. And Bill, the thing that I would add that we were - you asked what are we looking for. And so, this year, what we were looking for in the second half of this year was really to stabilize the base, which I feel like we're on the process of doing as you look at the sequential growth really embedded within the guidance. We've stabled - so we've aligned the demand with our resources. You're seeing the utilization coming back. We're now in the process of really trying to unlock the value of all of the businesses we've collected in this practice to really align together in a way that can compete highly effectively within the marketplace. We're starting to see signs of that starting to happen. And really, we've got a unique position within Healthcare in that we have multiple business models when you look across leadership, strategy, operations, and technology. And so, bringing those together in a really effective way, we'll see how this emanates into 2018. So, we don't want to declare victory. But ultimately, getting back to growth is the Number 1 job that we have on our minds.
Bill Sutherland: Right. And so, for us to think about kind of the progress, I kind of still split between cost in clinical and revenue cycle, revenue cycle being the bigger challenge to-date. Do you see them both kind of potentially recovering at the same pace? Or are you expecting more out of cost in clinical, just given the backdrop of the - of your clients' industries - of your industry?
Mark Hussey: No. I think we're - I think you'd see them for both. And actually, we are, in fact, seeing them from both and really for similar reasons. We've just - we've really increased the flexibility of our delivery models in ways that really resonate with how the clients' needs have evolved. And so, in doing so, we just are able to engage with them in ways where we can take really the deep capabilities that we have and be effective in the marketplace. So, I actually think you're going to - we are seeing strength in both revenue cycle and in the cost in clinical as well.
Bill Sutherland: Okay. And then finally for me. Just looking at the Education trend in the back half of this year, and you guys did give us obviously a good line of sight on that. What sort of happens when you pivot the next year because you have spoken, I think, about getting back to low double digit in that business next year?
Mark Hussey: I think if you look back at the trends in the last two years, in particular, I think they've been pretty strong. We've said that the trends or the growth rate in our Education business has been pretty consistent across our technology, our research and our strategy and operations business. And I think collectively, those are going to continue to grow at rates that are above our normal average for the company. We're very well positioned. The industry is in a lot of need, and we feel pretty good about how things are evolving for this practice in 2018 and beyond.
Bill Sutherland : Okay. Thanks very much.
Operator: Thank you. At this time, there are no further questions. And I would like to turn the call back to Mr. Roth for a final thank you.
Jim Roth: Thank you for spending time with us this afternoon. We look forward to speaking with you again when we announce our fourth quarter and full year results. Good evening.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.